Operator: Good day, everyone. My name is Lisa and I will be your conference operator today. At this time I would like to welcome everyone to the Sabra Health Care REIT First Quarter 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Lukas Hartwich, SVP, Finance. Please go ahead, Mr. Hartwich.
Lukas Hartwich: Thank you and good morning. Before we begin, I want to remind you that we will be making forward-looking statements in our comments and in response to your questions concerning our expectations regarding our future financial position and results of operations, including our expectations regarding our tenants and operators and our expectations regarding our acquisition, disposition and investment plan. These forward-looking statements are based on management's current expectations and are subject to risks and uncertainties that could cause actual results to differ materially, including the risks listed in our Form 10-K for the year ended December 31st, 2022, as well as in our earnings press release included as Exhibit 99.1 to the Form 8-K we furnished to the SEC yesterday. We undertake no obligation to update our forward-looking statements to reflect subsequent events or circumstances, and you should not assume later in the quarter that the comments we make today are still valid. In addition, references will be made during this call to non-GAAP financial results. Investors are encouraged to review these non-GAAP financial measures as well as the explanation and reconciliation of these measures to the comparable GAAP results included on the financials page of the Investors section of our website at sabrahealth.com. Our Form 10-Q earnings release and supplement can also be accessed in the Investors section of our website. And with that let me turn the call over to Rick Matros, CEO, President and Chair of Sabra Health Care REIT.
Rick Matros: Thanks, Lukas, and good day everybody. Thanks for joining us. We're continuing to see traction in operational recovery. Occupancy in our skilled nursing portfolio has now improved every month in the fourth quarter and continued through January. Occupancy October through January in our skilled nursing portfolio improved to 130 basis points. Our skilled mix jumped up dramatically in the first quarter as well. Labor trends are improving, but it's still tough, and it's going to be a bit of a slog there I think for a while, but we're certainly off our highs in terms of inflationary increases and agency utilization. So, we feel good about the progress has been made there as well. EBITDARM coverage without PRF and that's really the only way we think everyone should be looking at it at this point has improved sequentially on a trailing 12-month basis and even more so on a trailing three-month basis. I want to comment on a couple of specific operators. I think everybody saw I noted Signature Health coverage declined. Signature Health had a tough second half. They sold 24 facilities close to and right-sized their corporate infrastructure to accommodate a leaner company. And so that was quite distracting for them. However, their first quarter rebounded dramatically and I went back over a year and a half to find a quarter that was as strong as the first quarter is for Signature Health and wasn't able to find one. So we feel really good about where Sig Health is on a current basis. Similarly, Avamere, while their coverage was fine as reported. They also had a strong first quarter as well. Comment quickly on the transition from the old North American portfolio, that's going well for Avamere and it's going well for Ensign, as Ensign noted on their earnings call, they are ahead of schedule even though there's still a lot of upside to be had there. So in terms of our three largest operators, Sig Health and Avamere and Ensign, we feel like we're in a really good place with all three of those operators right now. We're pleased with the proposed 3.7% market basket and we do expect better than historical Medicaid rate increases. Most of those rate increases for our portfolio will be effective on July 1st. We'll have some more clarity probably over the next several weeks on what those rates will be. Our expectation, though, is that some states will be extending COVID rate add-ons and some will update the cost report base year to reflect more current data and that's a reflection of the fact that many states do acknowledge the impact of COVID on the industry and the lack of viability of some of the Medicaid rate increases in certain states. So as we saw last summer, we're seeing some of the same things this summer, and states are being more generous with their Medicaid rates. Investment activity is light and will remain so in the near-term. Competitive landscape has changed with lender loans and liquidity needs driving sales. Pricing uncertainty exists and I'm sure Talya will talk more about that as well. On Enlivant, as noted in the press release, we have terminated our position in the JV. There was no impact on earnings or any other ramifications to the company other than the fact that there are a number of folks out there, rating agencies, and others who still look at the debt carried by the JV. And so that obviously is gone. So from that perspective, for those that looked at the JV that it's a delevering event for us. We're now focused on transitioning the 11 wholly-owned facilities to new operator. I would note on the 11 wholly owned facilities, they are different than the JV portfolio. The JV portfolio was part of the original ALC acquisition. The 11 facilities that we own came afterwards. And these are large facilities and larger markets that are primarily a combination of AL and memory care patients or residents. And with that I will turn the call over to Talya.
Talya Nevo-Hacohen: Thank you, Rick. I'll first turn to the results of our managed senior housing portfolio and then provide a brief update on our investment activity in Behavioral Health. Our wholly owned managed senior housing portfolio continued its recovery throughout 2022 was essentially flat in the first quarter of 2023. Having worked to manage and overcome labor and wage challenges for nearly two years operators are now focused on building occupancy by bringing in new residents and numbers that materially exceed departing residents who for the most part are not leaving out by choice. Expenses are continuing to opt moderate which is a positive and the continued evolution of an investment in customer acquisition strategies is now seen as foundational. Our operators first became attuned to this when the pandemic began and they were forced to pivot to virtual sales and they have embraced this change. The headline numbers for the wholly owned managed portfolio on a same-store basis excluding non-stabilized assets and government stimulus are as follows. Occupancy for the first quarter of 2023 was 80.7%, a 140 basis point increase over first quarter of 2022 and a 100 basis point decrease over the prior quarter. REVPOR in the first quarter of 2023 increased by 7.3% over the first quarter of 2022 driven by nearly 10% annual rate increases achieved in our Holiday and Enlivant, wholly owned Enlivant portfolios. REVPOR for the first quarter was $6,484 in our assisted living portfolio, flat to the prior quarter and $2,771 in our independent living portfolio, a 110 basis points higher than the prior quarter. Including government stimulus -- excluding government stimulus funds cash NOI for the quarter was slightly off the prior quarter, but nearly 33% higher than in the first quarter of 2022 driven by continued margin recovery, particularly in our wholly-owned Enlivant portfolio demonstrating the benefit and challenges of operating leverage. We continue to see strong rate growth and continued those seasonal occupancy gains across our senior housing portfolio. Our net leased stabilized senior housing portfolio has seen consistent occupancy increases since the low in February of 2021. As of February of 2023, occupancy recovered to 88.2%, which is equal to the occupancy level immediately before the pandemic and 11.5 percentage points above the pandemic lows. Our leased portfolio SKUs to assisted living and memory care which have had a more robust occupancy recoveries and independent living as they are needs based. In addition, we have transitioned some poor performing leased communities to the managed portfolio allowing us to participate in their financial recovery. Move-out rates driven mostly by higher care needs and deaths in depth seem to be stabilizing, but at an elevated rate relative to pre-pandemic averages. This may be a temporary phenomenon, as we are seeing average length of stay reverting to pre-pandemic levels after spiking in early 2021. We speculate that residents that moved in during the first rounds of COVID vaccine clinics at communities what we then characterize as pent-up demand are driving higher move-outs now 18 months later. As mentioned in prior calls, high yielding, time efficient and cost effective customer acquisition strategies have become critical to filling communities. Larger operators who have the benefit of scale and capital are successfully using digital marketing to generate qualified leads that have a high rate of conversion to leases. Although the conversion rate from personal referral sources is higher, the absolute number of move-ins that are sourced through operators digital presence far exceed those from other lead sources. We are still in the early stages of the evolution of customer acquisition and senior housing and expect to see further changes as the target customer also evolves. Comparing the first quarter of 2023 results of our wholly owned managed portfolio by country, excluding government stimulus, we see that our Canadian assets have slightly outperformed our US communities compared with the prior quarter. In Canada, we see a similar phenomenon as we described in the US of higher move-out rates offsetting occupancy gains likely for the same reason. The labor cost and availability in Canada that we noted in last quarter's earnings call also seems to be resolving. As an example, in the first quarter of 2023, our Canadian joint venture reduced agency costs by 85% compared to the prior quarter. Turning briefly to our Behavioral Health portfolio. At the end of the first quarter Sabra's investment in Behavioral Health included 17 properties and two mortgages with a total investment of $793 million at the end of first quarter, which is expected to total $837 million once the balance of cap committed capital is deployed. We have identified additional properties within our owned portfolio as candidates for conversion and are in active discussions with potential operators regarding those locations. And with that I will turn the call over to Michael Costa, Sabra's Chief Financial Officer.
Michael Costa: Thanks, Talya. For the first quarter of 2023, we recognized normalized FFO per share of $0.33 and normalized AFFO per share of $0.34. These results are consistent with the normalized FFO and normalized AFFO run rate, we articulated on our fourth quarter earnings call and are in line with our expectations. As of March 31st, 2023 approximately 5% of our NOI was below one times EBITDARM coverage, which is consistent with previous quarters. Also as of March 31st, 2023, our annualized cash NOI was $451.4 million and our SNF exposure represented 56.7% of our annualized cash NOI down 140 basis points from the fourth quarter of 2022 and down 500 basis points from a year ago. We expect this percentage to continue moving lower throughout 2023 as a result of further earnings recovery in our senior housing managed portfolio and through any future SNF dispositions. G&A costs for the quarter totaled $10.5 million compared to $10.9 million in the fourth quarter of 2022. Excluding stock-based compensation expense, cash G&A for the quarter was $8.3 million compared to $8.8 million for the fourth quarter of 2022. Now turning to the balance sheet. Our balance sheet continues to be a source of strength for Sabra, allowing us to confidently withstand the market headwinds of tightening credit and high interest rates. As of March 31st, 2023 we are in compliance with all of our debt covenants and have ample liquidity of nearly $1 billion consisting of unrestricted cash and cash equivalents of $34 million and available borrowings of $920 million under our revolving credit facility. We have no material near-term debt maturities. Our next material debt maturity is in 2026 and our weighted average debt maturity is currently at 6.3 years. Our net debt to adjusted EBITDA ratio was 5.52 times as of March 31st, 2023 and in line with our expectations. We expect our leverage to decrease in future periods, as our portfolio continues its operational recovery and through proceeds from any future disposition activity. Excluding our revolving credit facility, which makes up just 3.3% of our total debt, we have no floating rate debt exposure and our cost of permanent debt is 3.93% as of March 31st, 2023. The combination of a low leverage, fixed rate balance sheet with meaningful liquidity and no near-term maturities affords us the luxury of not needing to access the capital markets in the foreseeable future. On May 3rd, 2023, our Board of Directors declared a quarterly cash dividend of $0.30 per share of common stock, the dividend will be paid on May 31st, 2023 to common stockholders of record as of the close of business on May 16th, 2023. The dividend represents a payout of 88% of our normalized AFFO per share. Lastly, we did not issue earnings guidance this quarter, but we are hopeful to be in that position to do so sometime in 2023. Until then, we still believe that the $0.33 to $0.34 quarterly run rate of normalized FFO per share and normalized AFFO per share that we provided on our fourth quarter call is still appropriate. And with that we'll open up the lines for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Michael Griffin with Citi. Please go ahead.
Michael Griffin: Great, thanks. Maybe we can go back to the fundamentals around SNFs sniffs and Rick, I'm curious in your assumptions for the rest of the year, I mean, how are you thinking about expectations kind of get a high level of agency and labor cost kind of decreasing? But if we were to quantify that, let's say, at the beginning of the year, you know, maybe you're thinking flat agency utilization or something. Where might that be at the end of the year and has your -- had your thoughts around it changed?
Rick Matros: So, my thoughts haven't changed around that. I think occupancy, we still think 30 -- 40 basis point improvement a month, is doable. We'd like to see more, obviously, but we think that that's doable, it's still hampered by labor issues. But we've seen -- so Signature held, for example, in the first quarter sequentially had a drop of 5% in our labor costs. So -- and I don't want to suggest that it's going to continue at that rate, but that was a relatively nice drop with occupancy, improving pretty dramatically in that portfolio. Their occupancy was up almost 300 basis points from sequential quarters. So I just think it's going to still be sort of a slow kind of improvement. I think there'll be -- there'll be greater shift -- continuing greatest shift from agency to in-house staff with increased wages, but the rate of inflation on those wages has also slowed down. And I would expect that to continue as well, because last year, especially, the second half of the year, there were significant wage increase that were passed on to staffing the facilities. To the extent that there needs to be more of that. I think -- there's nothing but good news really on the reimbursement front, both in terms of Medicaid this summer and the Medicare market basket. So that's going to help on -- that's going to help with margins obviously, but it's also going to help provide more cash for people to use incentives to hire staff as well.
Michael Griffin: And then just one clarification on the coverage. I think you said ex-PRF which is probably the right way to think about it as well. 155 this quarter versus 148 last quarter. If we go back to December of '21, like you have laid out in your deck, would that number be lower than the 155 this quarter or should we be thinking about it on a year-over-year improvement basis?
Rick Matros: We have to dig that one up. So I don't have that at my fingertips, but certainly it's higher on a year -- on year-over-year basis, but we'd have to go back and look at that quarter specifically if we can find it while we're still in the call, we'll let everybody know.
Michael Griffin: Great. That's it for me. I appreciate the time.
Operator: Our next question comes from Tayo Okusanya with Credit Suisse.
Omotayo Okusanya: Hi. Yes, good morning, over there. Two questions from me. First of all, senior housing on the leased side, again EBITDARM coverage of 1.14, I believe. Again that kind of suggests EBITDA is still probably less than one. So just kind of wondering how do we kind of think about that portfolio, again what's happening fundamentally that suggests coverage ultimately improves over time. Is there some risk of tenants within that pool possibly meeting some assistance going forward?
Talya Nevo-Hacohen: Tayo, I can give you some color there. So first of all, really what's. So first of all, it's a kind of a stale number, right. It's trailing 12, one quarter in a [indiscernible]. So we kind of know that you still have the impact of the agency costs and labor issues in that number and we're expecting that that's going to roll off. We've also seen occupancy increases, as I mentioned in my remarks in that portfolio and even into this past -- even into this coming quarter. So we are optimistic that coverage is going to turn, especially once as the -- as the labor issues that are embedded in that number and the expense part of that number and the EBITDARM are going to start to roll off.
Omotayo Okusanya: Got you. Okay. That's helpful.
Rick Matros: We also -- let me just add, Tayo. What is spoken in all of our asset classes -- almost all of our inflation is in the labor category, we're not seeing much inflation on labor category. So that actually helps quite a bit as the operators get better on recruiting and retaining staff that we're not worried about other sort of inflationary revolvers.
Omotayo Okusanya: Got you. Okay. That's helpful. And then from the Enlivant perspective I mean again okay withdrawn from this thing, you guys have no economic interest, no impact, nothing at all going forward. But could you just help us understand what exactly a withdrawal entailed? Does that mean you just kind of give up your ownership in the JV for free or you didn't get any economic benefit from giving it up. If you just kind of give us like details of just exactly what this entails to be able to kind of walk away from this clean and kind of clean and fair?
Rick Matros: There is a provision in the JV documents, JV agreement rather, that allows either side to give notice and just walk. So there is no compensation. It's not like management agreement or anything like that. A term fee or something like that, you just sort of walk. And the lenders have the assets. They're transitioning assets to other operators. There's nothing there anyway.
Talya Nevo-Hacohen: Those loans are non-recourse anyhow. So there was no obligation -- recourse to Sabra.
Rick Matros: Yeah. Unfortunately, Tayo, the downturn in the debt markets really took away all the obvious potential buyers for the portfolio. So you sort of have the double whammy of the pandemic impact on the business and then the debt markets turned down and so you sort of wiped out of the whole potential audience of buyers.
Omotayo Okusanya: I appreciate the color. Thank you.
Operator: We'll take our next question from Josh Dennerlein with Bank of America.
Joshua Dennerlein: Yeah, hey guys, thanks for the time. I just wanted to follow up on the Enlivant JV. I get that you can walk away from it, but I would have thought you would get a benefit if there is debt on the portfolio. And now that won't be flowing through your income statement. Is that a correct assumption or?
Michael Costa: No. Yeah. Hey, Josh. It's Mike. Yes. So it's not a correct assumption here is why. So that joint venture was accounted for under the equity method. And when we wrote that thing down to zero last quarter, as you recall, we no longer recognize any revenues, any expenses, any FFO, any AFFO from that joint venture. It's zero, not that it was much before we did have, but going forward, because of the way the accounting rules work, it's zero. So there's nothing flowing through our financials as a result of our writing it down to zero, there's nothing flowing through our financials as a result of us exiting that joint venture. The debt since was an unconsolidated joint venture was not appearing on our balance sheet, anyways. So literally, there is no impact to our financial statements as a result of this.
Joshua Dennerlein: Okay. So the impact is already in the 1Q results and there is nothing on the go forward. Okay.
Michael Costa: There was nothing in 1Q results. There were zero FFO, zero earnings, zero everything, zero balance sheet, value zero. There's nothing in our first quarter results for the Enlivant Joint Venture.
Joshua Dennerlein: Okay. That makes sense. I appreciate you clarifying that. And then, Rick, in your opening remarks, you mentioned you expect better or you expect Medicare --Medicaid increases to come in kind of on the better side. Just what are you seeing or hearing that kind of gives you confidence that the boost are going to be on the better side?
Rick Matros: Well, it's the actual dialog that's happening with the trade associations in the various states and the state legislatures and the folks that are in charge of the budgets there. So that's really where it's coming from. Look, it's not going to be all 50 states. Last year when we had more clarity on those states that were giving you outsized rate increases. We published that I think that was in our second quarter '22 earnings release. So we'll do the same -- we'll do a business update if we know sooner than later on that as well, but it's coming from direct discussions. And -- yeah, I think the biggest question mark on the states that we're in is Texas. So I think everybody has got a comfort level now that Texas Legislature will make permanent the 1962 that was part of the FMAP add-on and some additional amount above that. The issue is with PHE going away May 11th, the state in this case, Texas has the option of extending that 1962 until the full rate increase goes into effect in September, but we just don't know yet if they're going to do that. So I think worst-case scenario for Texas, as you have a four-month kind of hold where they lose the FMAP add-on, they'll get it back in September, but they're going to have that four-month period where there isn't anything. So that's what we know about Texas, but again on all the other states, our assumptions are based on actual dialogs and things being put in budgets and stuff like that.
Joshua Dennerlein: Thank you.
Rick Matros: The other thing I should point out, too, is some of this is just organic. So the cost report process itself starts to capture inflation. There is a lag time between when states -- when the state cost reports are filed and when reimbursement rates actually occur, but the core supports do capture inflation. It's one of the reasons that we expect next summer's -- so 2024 next summer's Medicaid rate increases to be even better, because they will really be capturing a lot of the worst period of inflation that we had during COVID. So the fact that there may be a couple of states that are willing to accelerate the base period for the core support now and not wait another year is a positive for those particular states.
Operator: All right. And we'll take our next question from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Great. Good morning. I have a question on the $0.33 or $0.34 run rate when you layer in sort of the 25 transition assets you guys highlighted last year. I think they were generating cash rent around the $5 million to $6 million range on an annualized basis with upwards of $15 million upon that ultimately commencing. How much of that has commenced and is captured in that run rate. And then also does the $0.33 or $0.34 assume any acceleration in NOI from the senior housing managed portfolio?
Michael Costa: So the run rate is based on what we reported this quarter, right, or even based on what we reported in Q4. So it doesn't assume any acceleration in senior housing managed. So that would be incremental to that number. Obviously, we didn't want to bake that into the run rate, because I don't have a crystal ball, but, yes. So if there is improved performance there, which we expect there to be then I would expect that number to improve as well. In terms of the transition, those are ongoing, as we've talked about for the last several quarters. We expect those to be fully transitioned and NOI pickup that you alluded to be realized by the end of 2024. Again, it's going to vary by situation, it's going to vary by project in terms of when those things roll in, but they're incrementally getting picked up in our earnings and we expect it to still be fully in there by the end of '24.
Austin Wurschmidt: Do you have a sense on the top of your head?
Rick Matros: So nothing was impactful on the current run rate.
Austin Wurschmidt: I'm sorry.
Rick Matros: Nothing was impactful in the current run rate.
Austin Wurschmidt: Understood. Do you have a sense what those 25 assets are generated in the first quarter on an annualized basis relative to the five to six in the second quarter of last year?
Michael Costa: It's higher than the five to six was less than a 15. I mean it's -- again like I said before, there's 25 projects -- there's probably 20 different stories there. So it's hard to pin down exactly what that run rate is going to be on an overall basis. It's going to be dependent on timing and a whole other -- whole lot of other factors, but it has increased that $5 million we disclosed back in Q2.
Austin Wurschmidt: Got it. Understood. And then just as far as the 11 assets wholly owned assets leased to Enlivant, where those kept in the same store pool this quarter, just curious how they performed. And then can you shed some light on the timing of a transition whether you have any operators lined up or sort of a shortlist, just any detail around that would be helpful. Thanks.
Talya Nevo-Hacohen: And so, they are in the same store pool and they actually are -- have been one of the drivers of performance of the assisted living component of the pool, because they have had a strong recovery over the last 12 months. To recall, they were, call it, breakeven a year ago or so. So -- and they actually have -- they have a real margin now between recovery on occupancy and strong REVPOR growth.
Rick Matros: Yeah. In terms of the transition, well, we're just trying to work cooperatively with Enlivant and TPG on that. So should happen in the coming months. But I can't give a specific time frame. We know of a number of operators that have initiatives in the portfolio. So identifying the right operator in and of itself is not going to be a concern or an issue for us.
Austin Wurschmidt: Great. I appreciate all the detail. Thank you.
Operator: Our next question comes from Steven Valiquette with Barclays.
Steven Valiquette: All right. Thanks. Couple of really more just kind of housekeeping questions around the supplement. I guess on pages four, five, and six. I guess first on page five, normally, I think that page is normally delineated as like the same store data, but this quarter, it was not. I don't know if that is still same store data on page five as far as the EBITDARM coverage ratios that are there and occupancy or exactly which properties are included on that data, so that was kind of housekeeping question number one. And then number two, I guess, sorry, go head. Yeah maybe that one for you to follow-up.
Michael Costa: Yeah. I'll answer it as we go through. So the answer to your question is that is not same store that is for our entire stabilized portfolio and the majority of our portfolio is included at stabilized pool. We took out the same store triple net information this quarter, as you've noted. Just periodically we review our disclosures, we review our peers disclosures we taken evaluation of what is helpful disclosure for the market and for investors and we noticed that not many people present triple net same store information. So we're kind of an outlier in that regard and we thought the overall portfolio was more indicative and more useful for investors.
Rick Matros: And we did seek out some feedback from investors about that as we typically do when we -- before we change disclosures.
Steven Valiquette: Okay. That's helpful. And then just to triangulate that then like the footnotes on pages five and six are the same around the sort of stabilized portfolio. Looks like the property count in the stabilized portfolio might be that 356 number. It's on page six. And then on page four, you show 396 total properties in consolidated. So they're basically roughly 40 properties, give or take, that are not in the stabilized set of properties, am I doing that math right? And if you want to do it offline or follow up offline, I am happy to do it too. If it's kind of hard to do it this on the live, but hopefully that question makes sense.
Michael Costa: Yeah, let's follow up offline on that one. So I could do that math softly.
Steven Valiquette: Okay. All right. Fair enough. Okay, thanks.
Operator: Our next question comes from Vikram Malhotra with Mizuho.
Vikram Malhotra: Thanks so much for taking the question. So I just wanted to follow up on the ins and outs to the FAD run rate. You talked about the transition in '22 benefiting through the year into '24, but then you also alluded to additional transitions potentially. I think in Canada you said or maybe there was also some additional senior housing convergence. Can you just walk us through that again? Are there, is there an additional bucket of assets that you will start to transition leaving Enlivant aside that sort of may impact the FAD going into the end of '23, early '24?
Rick Matros: I mean, I'd say that we're no different than any other company. We're always looking at our portfolio and evaluating the best outcomes for our portfolio. We did that to a significant degree last year, which led us to our conversations around dispositions and transitions, but that doesn't mean it stopped. We're still looking at our portfolio and there may be opportunities to transition assets to new operators, maybe opportunities to underperforming assets to new operators, there may be opportunities to transition or convert properties to Behavioral Health that's always going to be something that's in our portfolio. And quite frankly anybody else's portfolio. The material stuff that is impacting our portfolio that will impact our portfolio is what we've talked about since Q2 of last year. So incrementally nothing material.
Vikram Malhotra: Okay. So it's not like a similar size bucket as last year. It's a much, much smaller bucket that you'd look to tackle through the year. Over and above Enlivant. Okay. And then just looking at sort of investment opportunities. I know, Rick, you mentioned things are slow and evolving, but can you sort of walk through maybe the broader capital structure in terms assets, but also potentially additional, say, preferred equity investments or additional loans that you may decide to make as investments given all the -- all that's going on in the debt markets around skilled nursing but even broadly senior housing.
Talya Nevo-Hacohen: Sure. I will try to answer that. We are seeing reasonable flow of assets and opportunities coming to us, few of them are interesting. We look at our cost of capital and we think about ways to invest and that leads us to focus more on, more on preferred equity or higher yield or mezzanine debt or something that has higher yield or greater opportunity in the longer term. Right now, what we are seeing are remains to be underperforming assets that want full pricing. It is unclear what exactly is full pricing today. I think that's a bit of, a bit of challenge and why we are continuing to look at things, because we are interested in price discovery with debt being at the levels in terms of interest rate and a significantly reduced proceeds level in terms of availability. There is -- we are seeing in both liquidity as well as a credit issue for borrowers, developers, et cetera. And that we would hope would create opportunities for us. So far the -- we haven't found them, but we continue to look and we continue to try to be creative there. There are a lot of assets that are recovering at this point, particularly in senior housing that are recovering well, but their cost structure and their capital stack is so upside down and frankly values are probably not where they used to be. So there's a lot of readjustment that's going on and a lot of recalculating of capital and the outcome of those the tensions between borrowers, lenders and other investors is going to play out over the next period of time.
Vikram Malhotra: Okay, that's helpful. And just one thing I wanted to clarify. Remember, maybe it was last quarter. You had alluded to the fact that there is a lot of talk in the healthcare space about PLRs and I believe you had in 2018 or 2019 received one yourself. And correct me if I'm wrong, I'm just wondering what the goal or objective of obtaining that PLR was?
Michael Costa: Yeah. So we did receive that we were the first in our space to get that as we discussed last quarter. And the reason why we got that PLR was to enable us to have independent living facilities in a non-lease structure that was it. Absent that PLR, we could not have, the only way we could own independent living facilities was through a triple net lease and as you are aware we have the Holiday portfolio, which is all independent living and it is not under lease structure. So that was the whole reason and the rationale behind getting that PLR.
Rick Matros: It also provides optionality for us which, it's something that we always strive to maintain in as many aspects of the company as possible so that if at some point in time we choose to approach things differently from an operational perspective, we have the ability to do that. It's not our intent at this point in time because of the quality of the operators that we have in our independent living facilities at this time.
Vikram Malhotra: Great. Thank you.
Operator: Our next question comes from Michael Stroyeck with Green Street.
Michael Stroyeck: Good morning. One follow-up on the wholly owned Enlivant portfolio and operator transition. I know you mentioned they're performing well, but could you take us through just a reasonable base case in terms of potential degradation. We could see the NOI as the result of the transition?
Rick Matros: Yeah, I'll take that. So we don't -- we don't have a degradation base case, there may be some frictional costs as there always are when you transition to a new operator. But given the distractions, the understandable distractions that the Enlivant management team has had with the sale process, working with lenders, transitioning an entire portfolio of facilities to a variety of different operators, bringing in an operator that is, that has none of those distractions that is known to us. We think any frictional costs will be temporary. We actually think that there is upside in the operational results of that portfolio.
Michael Stroyeck: Okay. That makes sense. And then one quick one on shop expense growth. I know you called out it's been moderate over the past few quarters, how much of that is agency labor just coming back to earth versus a normalization in other expense line items?
Talya Nevo-Hacohen: It's largely exactly what you said. It's largely than labor agency costs.
Rick Matros: As I noted, a little bit earlier in the call. We're just not seeing significant inflation in the non-labor category. So as the operators get a better handle on their labor costs then -- then the top line improvements will just flow through better without anything else getting in the way.
Michael Stroyeck: Great. Thank you. I appreciate the time.
Rick Matros: Yeah.
Operator: We'll take our next question is from Michael Griffin with Citi.
Michael Griffin: Great. I appreciate the follow-up. I just wanted to touch on Bridge-to-HUD in terms of like external growth stuff. I don't think it's been mentioned so far. But if we think back to the low interest rate regime maybe that permanent financing was then called the mid-3s, it's probably moved up since then. Do you have a sense, Talya, maybe when you're underwriting transactions where that might be at that sort of longer term permanent financing? Thank you.
Talya Nevo-Hacohen: Yeah, I don't have it post Fed rate hike yesterday. So, but figure it's probably in the 7s. I mean I will tell you that we are seeing other debt quotes non-HUD, non-bridge to HUD but just, like, construction debt and stuff being quoted as a floor of 7.25 currently at about 8.5 and that's at around 50% loan-to-cost. Just to give you scale.
Michael Griffin: That's great, I appreciate the color.
Michael Costa: Hey, Michael. Just a follow-up to your question earlier on where coverage was ex-PRF a year ago, it was basically flat to where it was today. So, exactly flat, 1.55 times on a trailing 12-month basis. And when you consider what happened in that intervening timeframe with labor expense spiking, you have annual rent increases and the like the fact that it has stayed flat and is increasing is pretty encouraging.
Michael Griffin: Thanks, Mike.
Operator: [Operator Instructions] We'll take our next question from Juan Sanabria with BMO Capital Markets.
Juan Sanabria: Hi, thanks for the time. A couple of questions I guess on the coverage talked about how it's improving and would you be able to give the T3 coverage ex-PRF for the SNF and senior housing portfolio?
Michael Costa: We'll say, Juan, is that -- because yeah we did not disclose it. It is higher than our trailing 12-month number.
Juan Sanabria: Would that be the case for Signature and Avamere as well?
Rick Matros: In the case of Avamere, it might be slightly up. I don't have that at my fingertips. In the case of Signature, they had a tough second and third quarter. So, once they got all those sales and closures behind them and got corporate right-sized to leaner company that they are today, they really refocused and bounced back super dramatically in the first quarter. I'm talking about current first quarter and not quarter over the years.
Juan Sanabria: Okay.
Michael Costa: And yeah the trailing three month numbers we're talking about again are trailing three months ended December 31st, there has been four months since then. And as Rick alluded to earlier, the preliminary numbers we've seen come in for the actual first quarter of calendar year '23 are encouraging and headed in the right direction.
Juan Sanabria: Okay. And then on the dispositions you guys completed, curious if you could share the yields or cap rates of the NOI that was booked from a modeling purposes in the first quarter just to help us on a run rate basis?
Rick Matros: Yeah. So in terms of the dispositions -- we disclose our -- the vast majority of our disposition activity for the quarter, we disclosed, like, in February. And as we said back then, the yield on that was called mid-single digits. So whatever incremental sales we have between that point and end of the quarter one, we're small, and two, really didn't change that overall metrics. So I think that's still a good number to go with.
Juan Sanabria: Okay. Thanks. And then like the investments you did make in the quarter were 8%. Is that kind of the new bogey you think for where assets are trading today or are those deals -- one of them was from the development pipeline? Is that indicative of today's pricing or those are unique situations and not necessarily?
Talya Nevo-Hacohen: Those are unique situations. One, as you just said, the bulk of it was from a development pipeline and the other one -- so that was a pre-negotiated yield, if you will, or cap rate. And then the other one was a small property that is allowing us to create a campus with an operator of ours who is in a substantially larger building across the way. So it was -- it was an unusual piece. There weren't -- we didn't have a lot of folks rushing to buy a small building on the campus of another building.
Juan Sanabria: Okay. And one last one, if you don't mind. The loan book, anything we should be aware of in terms of potential risks we've had? Some news in the broader healthcare reit space of some loans going. Parashift just curious how you feel about your current loan book?
Talya Nevo-Hacohen: I don't think there's any change or -- and the bulk of it is not really -- is not at risk. It's not a -- it's not a large port -- it's nothing like the Ventas loan that they had to foreclose.
Michael Costa: Yeah. These aren't -- they're not mezz loans that we have, Juan.
Juan Sanabria: Thank you.
Operator: We'll take our next question from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Yeah. Just one quick follow-up for me. Can you guys remind us what percent of your operators are on a cash basis and what the plan is for those tenants overtime, whether you're maybe looking to sell some of those assets or enter into long-term contractual leases with either the current operator or potentially a new operator?
Michael Griffin: Yeah, so in terms of our cash basis tenant pool, like I've said in the previous quarters, the part that we really focus on are the portion of our cash basis tenant pool that pays us various amounts. And they'll pay us a different out this month versus next month, right? And that pool has come down as -- it was before, like, 5%, 6% to some of the sales or some of the transitions we've done. It's now somewhere call it 3% of our NOI. So it is coming down. And like we've talked about before, the activities we're doing on the portfolio, whether it would be sales or transition, that's going to address a large component of that.
Austin Wurschmidt: Great. Thanks, Michael.
Operator: And there are no further questions at this time. I'd like to turn the call back over to Rick Matros.
Rick Matros: Thanks everybody for joining us. It feels good to at least believe that we've gotten the worst behind us and really do feel pretty good about things going forward. So again thanks for the support and thanks for joining us today and have a great day.
Operator: And this concludes today's conference. You may now disconnect.